Operator: Good morning. Thank you for attending today’s Clarivate Third Quarter 2023 Earnings Call. My name is Flam, and I’ll be your moderator for today’s call. [Operator Instructions] It is now my pleasure to pass the conference to our host, Mark Donohue, Head of Investor Relations.Mr. Donohue, please proceed.
Mark Donohue: Thank you, and good morning, everyone. Thank you for joining us for the third quarter 2023 earnings conference call. With me today are Jonathan Gear, Chief Executive Officer; and Jonathan Collins, Chief Financial Officer. Both will be available to take your questions at the conclusion of the call.  As a reminder, this conference call is being recorded and webcast and is copyrighted property of Clarivate. Any rebroadcast of this information in whole or in part without prior written consent of Clarivate is prohibited. An accompanying earnings call presentation is available on the Investor Relations section of the company’s website, clarivate.com. During our call, we may make certain forward-looking statements within the meaning of the applicable securities laws. Such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the business or developments in Clarivate’s industry to differ materially from the anticipated results, performance achievements or developments expressed or implied by such forward-looking statements. Information about the factors that could cause actual results to differ materially from anticipated results or performance can be found in Clarivate’s filings with the SEC and on the company’s website. Our discussion will include non-GAAP measures or adjusted numbers. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance, but they are supplement to and should not be considered in isolation from or as a substitute for GAAP financial measures. Reconciliations of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website. After the prepared remarks, we will open the call to your questions. And with that, it’s a pleasure to turn the call over to Jonathan Gear.
Jonathan Gear: Thank you, Mark. Good morning, everyone, and thanks for joining us today. Before I begin, I would like to share some thoughts about the situation in Israel. Clarivate has over 500 colleagues in our Jerusalem office and the recent terrorist attacks changed their lives. While the reports should not alluded any colleagues that day everyone in the office, you know someone who has been impacted by a loss, casualty or the ongoing hospice crisis. Our colleagues are our number one priority and we have established a fund that’s $200,000 for the local team to use to support the colleague connections and community outreach. We have arrangements in place for operational continuity at all levels and did not expect any disruptions. All of us at Clarivate hope for peace in the region.  Now let me turn to our third quarter results. I am pleased with progress of our business this quarter, which demonstrated sequential improvement in two of our three operating segments, while also achieving our company’s highest organic growth on a consolidated basis since I joined Clarivate a year ago. We are moving in the right direction.  Despite the ongoing challenges in the macro backdrop, which are having a greater impact on our transactional businesses, we leveraged several key wins highlighting the resilience of our business and the mission-critical nature of our data and products. We continue to innovate our products and establish new generative AI solutions in our IP and life sciences and healthcare segments. As discussed at our Investor Day in March, driving value enhancements to our mission-critical data through product innovation is core to our long-term strategy. We remain focused on accelerating organic growth to industry growth rates and continue to see generative AI as a very large untapped opportunity for our company.  Revenue in the quarter was $647 million, an increase of $11 million on an organic basis or 2% growth. This was in line with our expectations. Our performance was driven by strong momentum in Academia & Government and they returned to positive organic growth in life sciences and healthcare.  We continued to face temporary headwinds in IP such as a delayed contract starts date with the United States Patent and Trademark Office, and moderate impact to the ongoing US actors strike, both of which I will elaborate on momentarily.  Adjusted EBITDA of $281 million and EPS of $0.21 were both up from last year and we continue to make progress towards our long-term EBITDA margin targets at 42%. Jonathan Collins will discuss this I more detail.  Now, turning to our segments, beginning with Academia & Government, last quarter, you heard me discuss improved performance in A&G as our investments are helping drive new subscription business, account updates and higher retention. This quarter, I'm happy to report we were able to build an implementing with organic revenue growth accelerating to 3%.  This is our strongest growth quarter since last year's second quarter. We believe this is confirmation that our strategy is paying off. In the quarter, growth was strong across content aggregation transactional sales which had historically been a strength for us, but we also recorded wins with three major universities for workflow solutions.  Accelerating adoption of our workflow solutions through our risk analyzer products has been an important area of focus for us and is a prerequisite to bridging our gap to industry growth. I'm confident we will get there and this quarter is just the beginning.  In October, we were selected by Yale University to provide its library services, and discovery platform. By implementing Alma and Primo, Yale will unify its workflows and data onto a single platform elevating the user experience and enhancing services within its library ecosystem. As a reminder, Alma is our cloud-based library management platform which unifies print, electronic, and digital collections, while Primo provides fast access to scholarly materials, and tutor ways to discover new content.  Yale will implement these services in both its main and law libraries workflows and data, combining the benefits of generative AI with trusted content sources will enable users to find new insights fast and at scale. Another win in the quarter was OhioLINK, which is the entire state of Ohio's academic library consortium of 117 member of libraries. OhioLINK chose Alma for its cloud-based shared library services platform as it bolsters its investment in higher education technology infrastructure. A key factor behind our win was the investments we have been making in the Alma platform and our roadmap which best meets the consortium's current and future expected needs.  In addition to Alma, OhioLINK will implement Primo, and a wider suite of Ex Libris products, that will enhance services for users, staff and administration.  Lastly, we established the Academia & Government innovation incubator, late in the quarter. We expect this will further accelerate our strategy to advance knowledge through research and education, but introducing novel solutions for our customers and academic users. As part of the incubator's first program, we make a small, but important acquisition of Alethea an AI Powered student engagement platform.  Alethea facilitates meaningful engagement with academic texts, class readings and assignments to personalize and adaptive guidance, which helps to realize better learning outcomes and student success. As you can tell, we're seeing strong momentum in our A&G business and I was very pleased with the performance this quarter. We remain confident that we are well on our way to bridging the gap to market growth rates.  Moving to IP, in the quarter, organic revenue growth - pressure from the ongoing US actors strike which began in mid-July and in fact on our trademark business. Trademarks are a critical part of the movie industry where film studios use trademarks to protect movie titles and register other elements related to films, which can pave the way to potential licensing and merchandizing agreements.  We also saw a delay in the start date of a new contract with the United States Patent and Trade Office, which was awarded to Clarivate earlier this year. This enhanced contract was saved by the client and we received a word, the contact will start in early first quarter of next year. The delay will have a modest impact in Q4.  I am pleased to share with you that we secured a multi-year deal with a large Indian telecommunications provider to deliver patent services. On the product side, we launched Forecast in September. Forecast is an AI powered tool that delivers powerful capabilities for predictive budgeting and is fully integrated with leading IP management systems.  The rising cost of managing IP as a strategic asset is an issue of increasing importance for customers and Forecast enables IP professionals, to create budget scenarios to make smarter filings and maintenance decisions, while collaborating more seamlessly across their organizations.  Net of all this, the view of our IP business remains the same. I remain confident that the slight pullback on organic growth for IP is only a short term event and we continue to expect to return to normal growth next year.  Turning to life science and healthcare, I am pleased to report improved performance with positive organic growth for the first time in four quarters of 2% year-over-year. Though we remain conscious on the macro and are still seeing pressures on parts of our transactional business as a result of the lower drug approval pipeline last year and a still challenging funding environment in biotech we did see some pockets of relief in the quarter.  Our consulting business delivered 7% growth in the quarter, and we secured a large engagement with a global Top 20 pharma to extend our partnership in epidemiology analytics supporting market access and clinical trials. We also signed a strategic agreement with a leading US biotech to accelerate commercial and market strategies for their lead drug candidate.  Lastly, in a regulatory and safety portfolio, we continue to demonstrate consistent growth, which is up 5% from last year. As I shared with you at our Investor Day, commercialization is a key area of focus for us to accelerate our vision to market growth rates.  Real world data offers our customers, a wealth of information around the activities and outcomes of key healthcare providers, patients, and payer stakeholders. Analyzing medical and pharma claims and other specialty data sets enables many factors to maximize their impact and launch planning by understanding the diagnosis, referral, treatment, and reimbursement dynamics among stakeholders in their target markets.  We continue to add to our existing datasets to drive further value to our customers. In the quarter, we enhanced our real-world data business with additional German hospital prescription data that will reinforce our position as a leading provider of real-world data solutions in Europe. We're also making progress on our software platform.  In August, we launched Enhanced Sourced powered by generative AI as part of the latest iteration of our patent pending platform. The new capabilities enable clinical, regulatory affairs and strategy teams to interact with complex data sets using natural language to obtain immediate and in-depth insights. The beta version of the enhanced source platform is now available to select customers and general availability is anticipated later this year.  As part of the commercial launch we further extend the platform by integrating additional data sets across our Cortellis line, including clinical trials, deals, drug discovery and more. This is all part of our long-term strategy to enhance the value of our critical data through more analytic and insights, while shifting even greater mix of our business through subscription.  In closing, we have a great business with an unparalleled suite of mission-critical products, world-class customers and a long-term strategy is intact. Like everyone in the industry we wish we knew when the macro pressures would ease, nonetheless, we made financial progress in two of our three operating segments.  And more importantly, we are not getting still. Our company is accelerating its innovating efforts, and we're seeing positive early signs of our strategy based on our customer conversations and highlighted wins but understand, we still have much work to do.  I’d like to thank my colleagues for their continued dedication, collaboration and hard work. I look forward to sharing our progress with you all again in three months time. With that, let me turn the call over to Jonathan Collins to walk you through our financials. 
Jonathan Collins: Thank you, Jonathan. Good morning, everyone. Slide 11 is an overview of our third quarter results compared with the same period last year. Q3 revenue is $647 million, an increase of $11 million or 2% versus 2022, driven entirely by organic growth as the impact of the MarkMonitor divestiture was offset by foreign exchange.  Adjusted EBITDA margins expanded 80 basis points over the prior year to 43.5% in Q3 on strong cost discipline and the cost synergies from the ProQuest acquisition. Third quarter net loss was $7 million, an improvement of $4.4 billion, as a result of the non-cash goodwill impairment charges associated with the CPA Global and ProQuest acquisitions reported in the same period last year.  Adjusted diluted EPS, which excludes the impact of one-time items like the impairment was $0.21 in Q3 a $0.01 improvement over the same period last year, primarily due to higher adjusted EBITDA.  Operating cash flow was $163 million in the quarter, a decrease of $44 million, due entirely to higher working capital requirements, primarily stemming from the intra annual timing of payments in our IP renewals business.  Please turn with me now to Page 12 for a closer look at the drivers of third quarter top and bottom line changes from the same period last year. Our third, quarter revenue and profit results are right in line with our expectations and were driven by four key factors. First, revenue was up $11 million on organic growth of 1.7%. As Jonathan highlighted, the organic growth in the A&G segment is the best it's been in over a year as we continue to see the benefits of accelerated growth in the research and analytics sub-segment due to the investments in the Web of Science product.  Our LS&H segment grew on a transactional basis due to soft comps from last year, despite the pressure in the subscription file we forewarned of stemming from the soft real-world data sales from the past few quarters. These segments more than offset the headwinds we continue to see in our IP business due to macro pressures.  The profit conversion on the organic growth was particularly strong as a result of the cost discipline we are exercising over the business. Second, inorganic activity, namely the divestiture of the MarkMonitor business last year, lowered revenues $19 million and profit $11 million this year.  Third, cost synergies from the ProQuest acquisition contributed $10 million of incremental profit. And finally, the translation impact of subsidiaries denominated in foreign currencies increased revenue by $20 million as the US dollar remains weaker the basket of foreign currencies compared to the same time last year.  The profit increase was negligible as transaction gains incurred in the third quarter of last year did not recur this year.  Please turn with me now to Page 13 to step through the conversion from adjusted EBITDA to free cash flow and how we allocated this capital in Q3. Free cash flow was $102 million in the quarter, a decrease of $39 million over the same period last year, bringing the year-to-date conversion on adjusted EBITDA to 46% and the cumulative improvements so far this year to a $159 million.  Interest payments were $40 million in the quarter, nearly flat over the prior year, as the impact of base rate increases were offset by the lower debt quantum due to the deleveraging in the fourth quarter of last year and the first half of this year. Cash taxes were $14 million lower than the same period last year, as we recognized the benefit of planning initiatives.  Working capital was a use of cash of $64 million in Q3, when it was a source of $12 million in the same period last year. This change was driven primarily by the timing of payments within our patent renewal business in the IP segment. Year-to-date, working capital is essentially flat. And we expected to be for the full year.  Capital expenditures were $62 million in the quarter, in line with the prior quarter in last year's third as we continue to invest in product innovation. We do start third quarter free cash flow to repurchase $13.8 million shares of our stock at an average price of about $7.20.  Please move with me now to Slide 14 for our current view on the remainder of 2023. Our third quarter results place us on track to deliver full year results near the midpoint of the ranges we provided in August. We expect organic growth will approach 1% in the fourth quarter, resulting in full year growth of about a 0.5%. This is slightly below the midpoint of the range as during the quarter we received word from the USPTO that a large contract we were awarded earlier this year has been delayed from Q4 until Q1 of next year.  Additionally, we'll experience the aforementioned effect of the Actors strike on trademark transactions and anticipate tepid year end spending in life sciences. We continue to expect revenue near the midpoint of the range at $2,635 million as the modest organic growth effects are offset by a later closing of the small divestiture in our IP segment and a slightly weaker US dollar.  We anticipate adjusted EBITDA $1,115 million yielding a profit margin of about forty two and a quarter percent at the midpoint of the ranges. We continue to expect adjusted diluted EPS at about $0.80. And finally, we anticipate free cash flow near the midpoint of the range at about $475 million.  Please turn with me now to Page 15 for a closer look at the full year top and bottom line outlook, which is unchanged from our prior guidance. Similar to the third quarter results, our full year outlook for revenue and adjusted EBITDA is driven by four key factors.  First, organic growth will add about $15 million to the top line, funding a comparable amount of incremental cost leaving the profit impact for this component to be flat. From a segment perspective, we anticipate A&G will continue accelerating their growth from historical performance to the market rate we outlined at the Investor Day in March, IP will decline slightly and LS&H will decline this year, due to the macro pressures we highlighted.  Second, the divestiture of MarkMonitor last year will deduct about $65 million of revenue and about $30 million of profit this year. Third, we've completed the integration of the ProQuest acquisition, enabling us to deliver the remaining $40 million of cost synergies this year accounting for all of this year’s expected margin expansion.  And finally we anticipate a $25 million foreign exchange tailwind on the top line as the US dollar has weakened slightly, compared to a basket of foreign currencies. The small headwind to the bottom line is caused by the transaction gains realized late last year that we do not expect to recur this year.  Please turn with me now to Page 16 to walk through how we expect the more than $1.1 billion of adjusted EBITDA will convert to nearly a $0.5 billion of free cash flow and our plans for allocating the remainder of this capital in Q4. Nearly all of the $170 million improvement in free cash flow projected for the full year, which is largely due to lower one-time cost and augmented by improving working capital has been delivered in the first three quarters of the year as we anticipate fourth quarter free cash flow will be roughly in line with the same period last year.  As a reminder, last year we incurred more than $200 million in cash outflows associated with one-time cost related to the acquisitions and expected improvement about $155 million this year as we incur about $60 million largely to complete the ProQuest integration. We do expect the cash interest increase of about $25 million as base rates were up considerably over last year.  Our working capital requirements have leveled off this year and will yield an improvement of about $56 million. We remain on track to increase capital spending by about $40 million to accelerate organic growth. The impact of all of these changes is about $170 million improvement in free cash flow to approximately $475 million at the midpoint of the range, which is an increase in the conversion on adjusted EBITDA of 15 percentage points.  We expect to use all of our fourth quarter free cash flow and an additional $50 million of cash on the balance sheet to prepay another $150 million of our term loan bringing the full year total to $300 million, and our net leverage to just below four turns.  Please turn with me now to Page 17 for a look at how we're tracking to our long-term financial objectives. You'll recall that when we outlined the financial objectives for our business at our Investor Day in March, our primary aim was to accelerate our organic growth. The first area we committed to improve was the Research and Analytics sub-segment within A&G and this segment group business remains on track to achieve its growth plans with continued momentum, delivering organic growth in the third quarter in excess of 3%.  However, the economy-related end-market softness facing our LS&H and IP segments leave us behind the pace we expected, but we remain laser-focused on the product innovation that will help us to lift these segments to their market growth rates over the next few years. But a slight tracking behind on the first objective, we made solid progress towards the other three we outlined.  Our second goal is to maintain durable profit margins as we invest to accelerate our growth. We executed on this objective in the third quarter as our margins expanded by 80 basis points even as we increased our operating and capital expenditures to drive product innovation. The third objective we outlined was to slightly improve our free cash flow - significantly improve our free cash flow, which we delivered in the first nine months of the year with an increase of 73% on lower one-time cost and improved working capital.  And finally we committed to allocate our capital in a disciplined manner. We've demonstrated balance in this area by repurchasing $100 million of stock in Q3 and remain committed to deliver our year end leverage targets through continued debt prepayments in Q4. The entire Clarivate team remains completely focused on the solid execution that will deliver all of these financial objectives.  I want to thank all of you for listening in this morning. I'm now going to turn this call back over to Falam, to take your questions. And as a reminder, please limit yourselves to one question and then return to the queue for any additional. Falam, please go ahead. 
Operator: [Operator Instructions]  Our first question comes from the line of Toni Kaplan with Morgan Stanley. Tony your line is now open. 
Toni Kaplan: Thanks very much, Just in light of a few additional 13D filings during the quarter, can you just give us your latest thoughts on whether you think this three businesses are more valuable together. What synergies you generate from having them together? And if there are any assets that you view as sort of not as core to the portfolio? Thanks. 
Jonathan Gear: Hi, toni. Yes. Thanks for the question. Yeah, I mean, first obviously, we always feel great about the investors set that we have and the kind of renewed interest and the new commitment from some of those that you mentioned are just fantastic. And so, we feel very lucky to have in part of our investment community.  In terms of portfolio, really as I highlighted in my remarks, Toni, and nothing hs changed. We're so very focused on executing against the plan that we have right now. One of our feedback we're getting very close to market growth rates. We made improvement in life science and healthcare. And again, we have some short-term market headwinds in IP, which we are focused on improving and we think will turn around next year.  So it's really telling, nothing has changed in our markets. We're always of course looking at where we should add our portfolio and putting that we can make, but we feel very good about the collection we have right now. Thank you. 
Mark Donohue: Next question, please. 
Operator: Our next question comes from the line of Manav Patnaik with Barclays. Manav, your line is now open. 
Manav Patnaik: Thank you. Good morning. I just – apologies if I missed it but, if you could break out the subscription growth and the non-subscription growth in the Academia & Government side? and just talk about how these new contracts you highlighted and the demand can you talk about directionally help that subscription run rate perhaps? 
Jonathan Gear : Sure. Thanks for the question, Manav. So, throughout our A&G business, we highlighted in the first three quarters we've seen improvement in our renewal rates in that segment, and we've seen some new business growth largely driven by the Web of Science product. So we made a pretty meaningful investment in that product late in 2021.  In 2022, we saw significant increases in monthly active usage. And then we follow that up with some really nice augments or enhancements to the product in 2022. You'll recall we significantly increased the number of journals that receive a journal impact factor and we started to do some very thoughtful integrations with some of the ProQuest products such as the dissertation and PCs collection.  That's put us in a place where we've seen nice improvements in the renewal rates that have helped to improve the subscription growth rates in the A&G segment. As Jonathan highlighted in his comments, we did have a nice quarter in Q3 on a transactional basis within A&G. So that business can be a little bit lumpy from quarter-to-quarter. It wasn't great in Q2. But we saw a really nice growth rate in the third quarter. The fourth quarter is important for that business from a transactional perspective. So the team, bars entire team remain heavily focused on delivering a strong year on the transactional side to augment the improvements, we've seen in subscriptions. 
Mark Donohue: Thank you. Next question, please. 
Operator: Our next question comes from the line of Surinder Thind with Jefferies. Surinder, your line is now open. 
Surinder Thind: Thank you. Just a big picture question here. When we think about the cyclical exposure that you have in the business and the commentary that was last quarter to some of the one-time items, and then we kind of look ahead, how would you characterize the upside or the downside that's kind of left in that part of the business as we move through the current economic cycle of exchange order maintaining your current levels? Or if perhaps things were to get a little tougher from a macro perspective? 
Jonathan Gear : Great. Thanks, Surinder. It’s great to have you on the call. Just couple comments and we first is, we are facing those macro pressures right now. We faced it for the last few quarters and surfing the case of trademarks since summer time of next year. So in our view, as we talk to clients to get a sense of their spending patterns from a macro impact this is kind of as bad as it gets, is our view. And we see it in a few different areas. So, the - for the most part, I break it down Academia & Government, which as, it's merely Academia is really largely immune for macro pressures. Is very government budget-driven and tends to be very, very solid. So half our business, I would say heavily, heavily insulated.  On the other parts of our business, largely insulated, but not completely immune. So within IP, the greatest impact we're seeing is in our trademark business. And as we talk before, trademark is the one part of our portfolio, which is a most sensitive. It actually will, we will see a negative impact on our business, through an economic cycle. And we've seen that since late summer or mid-summer of last year.  We've seen that that contracting of new products being launched and as, as we mentioned on the call today, even things like the screen Actors skills strike impacting new product launches and on, merchandizing, on films impacts us. So, but we're already feeling that right now. We don't see it getting worse. And then in healthcare, we've seen the impact, particularly on the commercial side of our business as pharma has cut back on spend on new launches.  Part of that is macro. Part of that was last year. It was a fewer number of new drugs approved in the pipeline by the FDA, we're seeing a great number improve this year that shouldn't improve next year. So we're certainly feeling it right now and I will say, just maybe to summarize it again it’s half our business A&G first impact from macro pressures and then the other half you're kind of seeing the downside this year from that. Thank you. 
Mark Donohue : Thank you next question, please. 
Operator: Thank you. Our next question comes from the line of Andrew Nicholas with William. Blair Andrew, your line is now open. 
Tom Ross: Good morning. This is Tom Ross on for Andrew Nicholas. I wanted to dive into the macro factors you saw last quarter content packing transaction return revenues. I was wondering, I know you saw some improvement in consulting. I was wondering if you talk about maybe those other factors and kind of how that progressed through the quarter and kind of how you are seeing those trend as we head into 2024? 
Jonathan Gear : Sure. Yes. we'll do Tom. So the two things I would really highlight, first in life science and healthcare. Again, it's really on those commercial budgets and those are commercial spends, so if you think about a pharma company, they have strategy business, they have R&D and then once a product gets approved and they get market access, it goes into launch.  What we're seeing and we've seen it really throughout the year and since entering the year, we've kind of hoped for improvement, that improvement hasn't happened in companies’ budgets, as our pharma - the pharma industry in general is being very tight on commercial spend this year. So we just see that continued pressure right now throughout the most of our products.  We do see some positives our consulting business as was mentioned in the call. So a bit of uptick there. Great job by the team there and something we're scrambling for where we can for every last dollar. But that that’s the impact we are seeing is on the commercial side within life science, and healthcare. And then, in IP, it’s obviously a major and a minor. The major is primarily around the trademarks and it’s as simple as this. If trademarks are tied towards new product launches. If you create new product, if your company consumer or B2B doesn't matter you are going to trademark that product. If you are launching it into new country, you could do multiple registrations.  And those registrations are different from patents and that they're a 10 year cycle instead of an annual cycle for the most part. So, they are much more susceptible to economic pressures. And what we've seen starting from last year again is just fewer product launches across our customer portfolio. And I think this is very similar with what we are hearing in the industry.  So that's a major part. And then we are seeing a bit of a minor part in terms of the patent side of customers just take a tighter look at the patents that they are renewing. We highlighted that in the Q2 call and that is played out frankly, exactly as we expected coming out of the Q2 call. Thank you.  Thank you. 
Tom Ross: Thank you. 
Mark Donohue : Thank you. Next question. 
Operator: Our next question comes from the line of John Mazzoni with Wells Fargo. John, your line is now open. 
John Mazzoni: Hi, thanks for taking my questions. I'm on for Seth this morning. And I just wanted to get a quick one in on the kind of OCC subscription growth really around just what your expectations are for 4Q as well as any initial thoughts into ’24? Thanks. 
Jonathan Gear : So, you'll recall, at the August call on Q2's results, we indicated, we expected to see some headwinds in Q3 on the subscription filed and we did. That's in almost entirely from our life sciences business where we see a pullback on the updates for real-world data, based on what the sales pattern had been in the preceding three to four quarters.  So, that played out as we expected. We do expect a sequential improvement in our subscription growth from Q3 to Q4. And then obviously, January is a very important month in our renewal cycle. Lot of work going on this month and next month. So, we'll have a much better line of sight into the subscription growth across the business when we're together in early, March for the year end results. 
John Mazzoni: Great. Thanks for the color. 
Jonathan Gear : Sure.
Operator: Our next question comes from the line of Owen Lau with Oppenheimer. Owen your line is now open. 
Owen Lau: Good morning and thank you for taking my questions. So, you talk about Yale has selected Clarivate for AI and big data and also how you are leveraging cloud. Could you please broadly talk about the progress of any more capabilities such as AI to your products? And what are some of the key product launches in the near term to increase the engagement with existing and potential customers? Thank you. 
Jonathan Gear : Got it. Owen, thank you for your questions. So I'll go ahead and cover a few. I mean, as we've discussed before, and as I discussed in my prepared comments, we see we've all previewed AI for 15 plus years. But this year, and the, and the technology is coming out in Gen AI are I think a game changer for – this is information and tech-enabled content companies like ourselves.  And we're really seeing in a couple few ways generically and then I'll be specific. First, in terms of enhanced search capabilities. The ability to use Gen AI to find the right content, the right curated content, faster drives incredible efficiencies for our customers. And so that's that is true across all three segments. And as we roll out our products and as we're testing right now with our clients, we are leveraging and expect to see rolled out of enhanced curated service across all of our segments.  I think that this is going to be table sakes. And then you get that combination of incredibly strong efficiency tool on top of our curated proprietary content is a game change of enhancement of efficiency for our clients. That certainly is one area.  And then secondarily, in terms as a generic example is just using as a way to unlock additional content insights to help our clients in their workflow. And there's a little more targeted. I didn’t comment on one in my remarks about Forecast within IP and only about this diving deep on this one. So if you are managing a large IP portfolio as one of our clients is a multi, multi, multimillion dollar spend.  And the challenge has always been, where is the best value in terms of that that portfolio patents that you manage and it's been a challenge for decades on how to best manage that. We've been reacting to our clients' needs to help them think about workflow tools that assist with that what historically has been a very manual process.  And the forecasting tool is something we have launched which will work with the IPMS systems to do just that and really enhance the value and increase the workflow tools we’re providing to that to that important customer base. So we're doing it there. We talk about the acquisition we made in A&G. It’s a great tool. It’s a small acquisition, but a great technology that we bought that allows guided discovery in educational tools to help professors in their content as they reach out to their students.  And I have two college students so I can really imagine, Owen, how this works. It’s going to help, it's going to help students as they test their knowledge, answer a question. And the way they answer would then really to further bespoke questions to really test that students’ knowledge. I think it's going to be the way of education and the way of the future and we are investing heavily in those areas.  Those are just a few examples. Lots more to come. We'll be sharing that in future calls. Thank you. 
Owen Lau: Thanks. 
Operator: Our next question comes from the line of Ashish Sabadara with RBC. Ashish, your line is now open. 
Ashish Sabadra : Thanks for taking my question, and thanks for providing more detailed Q4 organic guidance. Question that was just focused on one of the headwinds called out with the commercial budget and the fourth quarter is seasonally strong quarter for commercialization revenues, my understanding particularly the RWD and the DRT business.  I was just wondering what to assume from that business perspective? And how is the transition the progress on the platform to deliver these therapeutic RWD solution directly to the end-users? How is that progressing? Thanks. 
Jonathan Collins : Yeah thank you for the question, Ashish. And you are spot on the fourth quarter is a seasonally higher quarter for our life sciences transactional business. Certainly includes the commercialization products and services that we describe even on the R&D side. We are usually looking to capture year end spending. As we've talked about earlier in the year, particularly on commercialization, drug approvals last year were down, which puts us in a position where commercialization budgets are lower this year.  We've seen that play out through the year. We have better line of sight into what we think the year end availability of funds will be. And we trim the expectation there just modestly we are only talking a couple few million dollars as a part of the change in the organic outlook or the current indication for Q4. So, that's really what the driver is there.  To your second point, we've been very focused from a product development standpoint this year on building out better content, higher quality information with tools that will be relevant for our life sciences customers. We've made really good progress. We've got the launch of the first module on track to go out in the fourth quarter of this year and there'll be more to come next year.  I expected that we'll be in a position at yearend earnings in early March to talk more about the plans for 2024. So stay tuned for that. But thank you for the question. 
Mark Donohue : Thank you. Next question please. 
Operator: Thank you for your question. [Operator Instructions] Our next question comes from the line of Peter Christiansen with Citi. Peter, your line is now open. 
Peter Christiansen : Thank you. Good morning. Thanks for the question. I just wanted to follow up on the previous question. As we think about the setup for discretionary revenue - discretionary spending from your clients, perhaps maybe outside of life sciences, just wondering if you can frame that in terms of maybe what you're seeing maybe on the A&G side as we get into the fourth quarter and should we be mindful of any year-over-year comparisons for fourth quarter? Thank you. 
Jonathan Collins : Yeah, thank you for that Peter. I'll touch on the other two segments. So, on A&G, it is the largest transactional quarter of the year. So it's an important quarter that signs there within that market are good from a talent or a school year budgeting standpoint, particularly in the US we're seeing good signs there. And that helped lead to a solid performance in Q3.  But there's a plenty of work left to do in the next couple of months to make sure that we get our share or more than our fair share of that funding between now and the end of the year. But I would say the overall forces in that area are positive.  On the life sciences side, you raised a good point on the comps. We had a pretty good performance in real-world data in the fourth quarter of last year. Q3 of last year was very soft. That's why we saw transactional growth in Q3 of this year. So we are expecting real-world data sales to be down in the fourth quarter, which will pressure of the life sciences transactional business.  Certainly, some of that is the economic forces we just talked about. But in addition to that, we're really focused on building out a solution set that we're going to sell directly into the customers and being a bit more selective as we've talked about with where we sell our data. So I think both of those are going to have an impact in Q4.  And then on the commercialization side, there are a number of other transactions that we offer to aid in commercialization. And we expect there's going to be some year-over-year pressure on those due to the drug approvals that we saw last year. We'll talk more about it in a few months, but as we look in the next year, that's an area that we think will be a modest tailwind for us.  So drug approvals in the US are up over the prior year. So we should see some improvement in commercial budgets going into 2024. But we'll give some more color on that and a few months. Thank you. 
Peter Christiansen : Thank you. 
Operator: Our next question comes from the line of Shlomo Rosenthal [Ph] with Stifel. Shlomo, your line is now open. 
Unidentified Analyst: Thank you. Jonathan, I want to ask a little bit about some of the contract movements that we’re seeing. There was commentary about on the LS&H business impact of midterm cancellations and kind of renewals like, what does that mean exactly? And are you getting cancellations?  And then you can just give us a little bit more color as to why the USPTO contract, what that gets away? Is there any concerns or anything over there? I would assume that's a pretty big contract with the marquee customers. So any, just color on what's going on amongst all these different contract movements would be helpful? 
Jonathan Gear : Sure, I’ll start and answer your USPTO and I’ll pass to Mr. Collins answer your question on LS&H. On the USPTO and we have a talk about this because obviously, the government contract was public. And so, all this is in the public domain. But they have be a long-term partner and customer of ours. Great relationship with the USPTO in Alexandria.  And they awarded - we've been – we particular contract, they've awarded us an enhanced contract to us and another provider earlier in the year. So it was a consolidation of partners to support them. So one who did not win that contested it and so that then went through a process, a government review process. And we just recently received word on the back of with the confident with their process they have awarded as the original enhanced contract.  So we were never concerns that was losing it. It was a larger contract that was just delayed because any appropriate government review is under process. So we feel very good on the outcome. It has delayed by a little over a quarter the benefit of that. So we'll see it coming in early next year. But that has not been confirmed.  Jonathan, I’ll pass to you on the LS&H. 
Jonathan Collins : Sure. On the life sciences side Shlomo, we highlighted that the most of the pressure in Q3 on the subscription file came from the real-world data business. So that's a business where we've seen declining sales over the past few quarters. We knew it was going to impact the subscription file. We also have a small group of products in that group that have the ability to stop the feeds.  We did see a little bit pressure on renewal rates when we spoke with customers. We got some feedback around budgetary pressures and that's part of what is informing our outlook on the fourth quarter. But as I mentioned, we've got pretty good line of sight in the other areas and this as well to on the subscription file. I do expect that subscription growth is going to approve in Q4 and then we'll be very careful managing the really important Q1 renewal cycle for next year that'll have a big impact on 2024’s performance. 
Unidentified Analyst: Thank you. 
Operator: Thank you for your question. Our final. Question comes from the line of George Tong with Goldman Sachs. George, your line is now open. 
George Tong: Hi, thanks. Good morning. In life, sciences and health care you saw negative subscription revenue growth because of lower real-world data sales and some cancellations. Can you elaborate on your broader strategy for managing your real-world data product to drive improved growth? 
Jonathan Gear : Sure, yes. So, let me go and cover that. So, this is a key strategy shift we made in the middle of the year post Henry Levy joining the business. And just as a reminder, prior to those last two, three years since the acquisition of BRG we've been heavily focused on selling data as a product. So we've taken our real-world data platform, sold it as data and sold that to other providers who have been enhanced provide analytical tools to the end-customer which is the pharma companies.  We have made a decision to really to focus on trading that eligible platform ourselves, and migrating away from these large, lumpy deals and adding the value ourselves because we believe we're best positioned to go ahead and do that and begin selling more and more directly to pharma. That is a, as we start to make that investment this late last year and then really enhanced it this year.  And so, what that means is from a revenue profile, it means shifting away and a near-term hit on revenue of growth transaction. And then a little bit of a subscription pull on the comments when you make a transactional sale. So what you do as you sell a transaction sale, you get a dump if you will, the client gets a dump of content there.  And then, if it's, say it’s a three year contract, we're updating that content throughout and somewhat bit of a subscription pull along there. And so what you'll see in terms of our financial results is a pullback on transactions in the near term. A impact on subscription within life science healthcare, this is tied to those large transactions.  But as we build out the platform, we will go over time a much more sustainable, higher growth, higher value product, which is primarily subscription going forward. And that you'll see coming this year and in years to come. Thank you. 
George Tong: Got it. Very helpful. Thank you.  Thank you for your questions. This concludes our question and answer session for today's call. I will now pass back for any final remarks. Thank you. 
Jonathan Gear : Sure. Thank you so much. I will just go and wrap again. Thank you everyone for joining the call. We feel again, very good about the overall results in the quarter. Good progress, obviously still work to done. But we're seeing the progress we expected to see. So, thanks everyone. Have a great week and look forward to talking with you soon. Good bye. 
Operator: This concludes today's Clarivate third quarter 2023 earnings call. Thank you for your participation. You may now disconnect your line.